Gregg Swearingen: Thank you and good morning. Thanks for joining us for our 2006 first quarter earnings call. Bill Nuti, NCR’s CEO will be on our call this morning. After Bill’s remarks, Pete Bocian, NCR’s CFO will discuss our financial performance. Our discussion today includes forecasts and other information that are considered forward looking statements. While these statements reflect our current outlook, they are subject to a number risks and uncertainties that could cause actual results to vary materially. These risk factors are described in NCR’s public filings with the SEC and in our annual report to stock holders. On today’s call we will also be discussing certain non-GAAP financial information such as free cash flow and results excluding the impact of (inaudible) and other non-operational items. Reconciliations of non-GAAP financial results to our reported and forecasted GAAP results and other information concerning these measures are included in our earnings release and are also available on the investor page of NCR’s website. A replay of this conference call will be available later today, which can be accessed at NCR.com. For those listening to the replay of this call, please keep in mind that the information discussed is as of April 27, 2006 and NCR assumes no obligation to update or revise the information in this conference call, as a result of information or future results. Now with that, I’ll turn it over to Bill.
William R. Nuti: Thank you Greg. Good morning and thanks for joining us. First I’d like to discuss a few key points related to the quarter. We delivered $.25 of operational EPS vs. $.18 in Q1 2005. our operating efficiencies continue to improve and so do the financial results as a result of the operating efficiency. However, NCR did have a challenging quarter with regard to revenue growth. In addition to nearly 3 points of negative currency, (inaudible) and a difficult Q1 2005 comparison, we saw the negative effect of price erosion in our financial self-service businesses as well as unfavorable timing of transactions in our (inaudible) warehousing business. Although I’m not pleased with our revenue performance in the first quarter, the systemic changes we are making to our cost structure, the improved profitability in our customer services division and favorable revenue mix allowed the company to increase Q1 operational EPS approximately 40% when compared to Q1 2005. Before Pete reviews the financial results in greater detail, I’ll discuss the business unit results beginning with our Teradata Warehousing business. Revenue of $326 million was down 7% in the quarter vs. 2005, largely due to the timing of transactions; and down 4% in constant currency dollars. This compares to a pretty strong first quarter of 2005 in which Teradata’s revenue grew 14%. As we have talked about before and witnessed in the last several quarters, revenue can be lumpy in this business. Sometimes this is to our benefit, and sometimes – as in Q1 – it is not. Some transactions that could have been Q1 events are now expected in Q2 or later in the year. The timing of these transactions not only has an affect on revenue comparisons but also influences quarterly profitability. However, the revenue mix in Q1 contained a greater proportion of higher margin software and storage, which enable Teradata to achieve the 21% operating margin, roughly in line with the operating margin in Q1 ’05. Looking forward to Q2, we do expect our Teradata division to grow in the low double-digit range. We expect operating margins for Teradata to be in line with Q2 ’05, due to a less favorable revenue mix and increased investments. By mid-year we expect to be on track to achieve our full year guidance of 5-7% revenue growth and 21-22% operating margins, excluding options expenses. In Q1 Teradata added several new large customers around the world, such as Trump Enterprises, Key Systems – a division of Deutsche Telecom, and WebMD. Several customers also upgraded the size and analytics capabilities of their data warehouses in the quarter such as Air France, the Center for Medicare and Medicaid, EBay, EchoStar communications, Harvard Pilgrim Health, the Limited Brands, PayPal, SONY Pictures Entertainment, Fesco Stores and Vodaphone New Zealand. In Q1 Teradata made incremental investments to enhance the depth and breadth of our offerings as well as expand our sales and other demand creation resources, to continue to penetrate newer, high potential industry segments. This incremental hiring is expected to continue over the next several quarters. Our Teradata data warehousing team hosted a number of customer events in Asia, in the quarter as well, creating greater awareness and demand for solutions that help organization make better, faster decisions. Over 1,500 participants attended Teradata Conferences in Seoul, Korea, Tokyo, Japan and Sydney, Australia. I recently presented at our Teradata Universe Customer Event in Madrid, Spain, which hosted approximately 1,000 attendees. Positive response from both customers and technology partners validates the architectural strategy around the enterprise data warehouse. I’d also say the degree of partner engagement in the conference was strong, as is the alignment of their product offerings to compliment our enterprise data warehouse vision. While Enterprise Data Warehouse technology adoption currently lags in Europe, we’re seeing signs that momentum is pricing up. I continue to be encouraged by the opportunity for enterprise data warehousing, evidenced by the enthusiasm of Teradata’s existing and prospective customers and their motivation to learn new ways to deploy Teradata technology to expand and drive more value for their businesses. Turning to financial self-service. In the first quarter we had a well-planned leadership succession in this business unit. Malcolm Colins joined NCR to run the financial self-service division, following the retirement of Keith Taylor. And Malcolm has hit the ground running. Some of the things that Malcolm and the team are doing are intensifying our efforts to reduce the complexity of and rationalize our current product offerings. We expect to see several benefits from this program, one of which is lower supply chain costs as we reduce the number of discrete products and volume of parts that we need to manage going forward. Second, a simpler product line will make it easier for our sales people to articulate a differentiated value proposition which improves our sales velocity (inaudible) the cash cycle time. We also saw good progress on the manufacturing side of our business. In Q1 we began production at our new manufacturing facility in Budapest, Hungary. In addition, we integrated the manufacturing capability from the Tydel acquisition. With these plants operational, we have taken another step towards driving our global manufacturing optimization plan that we shared with you last quarter. Although these investments are a key to our supply chain strategy, they will add some costs short term. To help us execute our supply chain optimization plan, Malcolm has hired Rick Marquette as the new head of our financial self-service global operations team. Rick joins NCR from Motorola, where he was the VP of supply chain management. Although it’s encouraging that we are beginning to see price stability in the market, to further improve our profitability, Malcolm has been actively engaged in further improving our sales effectiveness and generating higher quality revenue. Sales management compensation has been modified to further increase the weight or focus on profitability vs. revenue growth and a new management system rigor is under way to review, prioritize and support profitable sales opportunities. Now to our results. Revenue of $259 million in our ATM business was down 5% from the revenue we delivered in Q1 2005. In constant currency dollars, ATM revenue was down 2% vs. the same period last year. As we said last quarter, we expected revenues to be lower during the first part of 2006. Overall, we don’t expect year on year revenue growth in this business in 2006. as we still foresee a delay in spending for Check 21, until the end of 2006, while ramping into 2007. However, some progress is taking place in the back office. In the US, we have several check 21 projects under way from small community banks and some of the largest banks in the country. A few of the larger banks have indicated that they want to move from pilot to rollout beginning late this year. Globally, deposit automation sales motions continue with noticeable year on year order and shipment growth in Q1, particularly in Eastern Europe. There are really no major changes regarding regulatory r3elated revenue derivers. In the US, a large proportion of ATMs have been upgraded for triple (inaudible). We expect the remaining ATMs to be upgraded or replaced this year. In some international markets, longer extensions have been granted by card issuers and we expect those upgrades and/or replacements to take place through the end of 2007. Q1 profitability was down $12 million in our ATM business, largely due to price erosion and lower volume. We also saw increased costs as we continue to work our manufacturing and supply chain cost reduction strategy. We expect some of those costs, as I said earlier, to continue for the next quarter or two. Excluding options expense, we continue to expect annual operating margins to be in the mid-teens for the ATM business in 2006. Now if we turn to the retail store automation division. Revenue of $172 million was down 2% from Q1 of ’05. In constant currency dollars, revenue increased 1 point. Profitability was down $4 million due to lower profits from Japan and the negative impact from currency fluctuations. We continue to see growth in the service technology market, however the timing of some transactions did not provide as much sub-service growth in Q1. Looking forward, we still expect about a third of our retail store automation revenues to come from self-service technologies by 2007. Retail industry remains very challenging. Overall, retail is spending, but cautiously and at a slower pace. The amount of capital per project is decreasing with smaller individual commitments at a point in time. That said, we continue to expect revenue growth of 3-4% in this business in 2006. Customer services had a strong quarter as the division continued to successfully execute it’s multi-year profit improvement plan. The business deliver $20 million of operating income, which compared to $9 million in Q1 of 2005. revenue in customer services was down 6%, as expected, as we continued to change the composition of our customers services revenue mix; less related to third party products, more related to our own technologies. Revenue from third party maintenance was down 19% from Q1 ’05 and revenue from the sale of third party hardware was down 27%. Revenue from ATM maintenance, however, increased 5% from a strong Q1 of 2005, which grew 7% from Q1 of ’04. Revenue for retail store automation maintenance grew a point, year on year. A Q1 early retirement program offered in our customer services business was successful. It results in a $9 million one-time non-cash increase in pension expenses. This should further improve our customer services cost structure going into 2007. I’ll now turn the call over to Pete to review our financial results.
Peter J. Bocian: Thanks, Bill and good morning everyone. Total revenue of $1.28 billion was down 4% year on year. We faced nearly 3 points of negative impact from foreign currency translation in the quarter. Adjusting for the three points of currency headwind, revenue declined almost 2 points. Our Q1 gross margin was 27.4%. Excluding the incremental early retirement expense, gross margin would have been 28.1%.; about half a point improvement from Q1 2005. NCR’s expenses were down 4% vs. the prior year quarter, helped by the foreign exchange movement. In expenses, investments in Teradata were up with infrastructure expenses continuing to come down. Total company non-pension operating income, of NPOI, was $91 million or a 7% NPOI margin for the quarter; a little better than the operating margin achieved in Q1 2005, despite 4% lower revenue and $6 million of incremental expense related to stock-based compensation. In the quarter, we had pension expense of $44 million, including $9 million of incremental pension expense related to the early retirement program offered in our customer services business. This action should further improve our customer services cost structure going into 2007. To analyze NCR’s operational performance without the effect of pension and one-time items, please see the supplemental financial schedule on the investor page of our website that reconciles GAAP to non-GAAP results. Below the operating income line, reported other income of $3 million, compared to $4 million of other expense in Q1 ’05. When you exclude net negative impact of non-operating items reported in the first quarter of 2005. The year over year improvement was driven primarily by interest income and foreign exchange movements. Our tax rate in Q1 was 18%. The tax rate was lower this quarter due to the mix of profits and losses by country. We still expect the tax rate for the full year to be in the 22% range. We reported GAAP net income of $41 million or $.23 per share, vs. $.16 in Q1 2005. Included in the Q1 ’06 results were about $6 million of incremental stock-based compensation, which equated to about $.025. Adjusting for that amount, EPS improved over 50%. Turning to the balance sheet. During the quarter we continued our systematic share repurchase and bought back approximately 2.3 million shares for $88 million. We now have about 428 million of (inaudible) authorization available for future share repurchases. We continue to see a favorable reduction in option overhang, as approximately 2.1 million options were exercise in Q1. Moving to the cash flow statement…in Q1, NCR generated $38 million of cash from operating activity, vs. generating $11 in Q1 of 2005. after using $61 million for capital expenditures, we used $23 million of free cash flow in Q1 of ’06, which compared to using $39 million of free cash flow in Q1 ’05. Net-net, a slight improvement in Q1 compared to 2005. We still expect about $310-320 million in free cash flow in 2006. We calculate free cash flow as cash flow from operations less capital expenditures for property, plants and equipment, re-workable service parts and additions to capitalized software. Although NCR’s revenue performance this quarter was not as strong as Q1 of ’05, we expected a relatively slow start. As Bill mentioned, the only real miss to our expectations on revenue was in Teradata, due to the timing of transactions, which we expect the majority to occur in Q2. We’re confirming our guidance for the full year for both revenue and EPS, including about 1-2 points of currency headwind, total revenue is expected to be roughly flat compared to 2005 with a better mix of higher margin products and services. We continue to expect Teradata data warehouse revenue to be up 5-7%, with a good catch up expected in Q2. In Q1, Teradata had a miss of about $30 million against our expectations, most of which will close in Q2. We expect financial self-service revenue to be roughly flat. Check21 should drive growth in late 2006, with more significant growth in 2007. We expect retail store automation revenue to be up 3-4%, with improving self-service content. And, customer services revenue should be down 3-4%, as there will be some continued planned attrition of third party products and services. We expect to make continued investments to position NCR for future growth. Our NPOI margin expectations for the year, excluding stock-based compensation expense are: Teradata: in the 21-22% range Financial self-service: in the mid-teens Retail store automation: 4-5% NPOI margin for customer services: 4-4.5%. We expect the impact of incremental stock-based compensation to be about a negative 40-50 basis points of operating margin for each of the segments. Pension expense is expected to about $140 million in 2006, not including the $9 million one-time non-cash pension expense from the early retirement program in customer services. We still expect the tax rate for the full year to be in the 22% range. Assuming stock option expense of about $0.10 and including the incremental non-cash early retirement pension expense, we expect GAAP EPS of $1.81 to $1.86. Excluding the early retirement expense, we expect EPS of $1.85-$1.90 per share. In the 2nd quarter, we expect our Teradata business to benefit from low double-digit revenue growth, due to the timing of transactions. Year over year earnings expansion is likely to be mitigated somewhat in the second quarter, due to increased investment for future growth opportunities, particularly in enterprise analytics and self-service technologies as well as lower profit in our ATM business, due to the lingering impact of price erosion as well as manufacturing and supply chain transition costs. Now, let me turn the call back over to Bill
William R. Nuti: Thank you, Pete. Before we open up for questions I’d like to reiterate that our initiatives for success remain very consistent. We remain focused on improving our productivity and building a sustainable competitive cost structure, particularly in the areas of supply chain efficiency, customer services delivery, quote to cash and field sales automation. As we improve our operational execution in these areas, we will further enable our potential to grow. Beyond our focus on improved execution, we continue to develop profitable growth plans that primarily focus on the enterprise analytics, and (inaudible) service markets while expanding our managed services solutions as well as through optimizing our core point of sale business and developing an indirect channel capability. We are evolving to become a more customer focused and customer centric organization, where our relationships with our customers extend to include a deeper understanding of their business strategies and technology requirements, which will allow us to proactively support their current and future needs. Now let me turn the call over to the operator for Q&A.  Operator?
Operator: Thank you. At this time if you do have questions press star followed by one on your touch tone phone, star 2 to remove that question. It will be a moment for your first question. The first question comes from Andy McCullough. Sir, your line is open.
Andy McCullough.: Thanks. On the financial self-services margins, you talked about pricing as well as manufacturing and supply chain issues. Can you dig into the manufacturing and supply chain transitional costs? What’s going on here and in how many quarters should we expect this to have an impact and perhaps quantify the degree to which this is impacting the margins in that business? Thanks.
William R. Nuti: Andy, I’ll give you a few comments and then I’ll turn it over to Pete for a little more of a drill down. The first thing I want to say is in Q1 we lost the price-cost war in Q1. Even though price is stabilizing out there, I wouldn’t call Q1 a trend yet. I’d like to see several more quarter of price stability, but it was better than it has been in the latter part of last year. But, we did not get as much cost out of Q1 as I would have like; that’s point 1. Second, certainly volumes weren’t there. But, we knew the volume wasn’t going to be there and frankly, they achieved exactly what Pete and I though they would achieve in terms of revenue on that front. And, of course, we had some incremental costs associated with supply chain transition. We did boot up Budapest and actually several hundred units were shipped out of Budapest and we do expect several thousand to be shipped out of Budapest this year. It’s going to be difficult to break out the cost associated with the supply chain transition that we’ve started right now for you. You probably want to know exactly what we spent on that in Q1 and what we think we’re going to spend, but it’s difficult to break those things out because there’s a lot of moving parts to this equation. Pete, do you want to add to that?
Peter J. Bocian: Yeah. Andy, the way I look at it is: really Q1 of ’05 at 9% margin was probably the last quarter we had before price erosion accelerated last year. If you look back at Q1 of ’04, we did 7%. So, historically that would have been a more normalized rate and then doing 5% this year, you can kind of do that delta and that’s probably the impact of the multiple components of the price-cost equation going against us, plus the manufacturing transition. It’s always typically a software quarter; we do less than 20% of our revenue in the self-service business in Q1. I think it’s going to look more like how we march toward 2004, relatively speaking, than the ’05 scenario. We’ve just got to execute on the manufacturing transition. It will have some incremental costs. But that’s the way I’d look at it. We’re still targeting the mid-teen for the year, excluding (inaudible) expenses. So it’s kind of in line with what we expected. I know optically, it’s down year on year against a pretty strong Q1 ’05, but that’s my read on it. Andy McCullough. Thanks.
Operator: The next question comes from Richard Farmer. Your line is open. Richard Farmer. Thank you. Bill, would you comment on the health of the Teradata pipeline? I guess both generally and with respect to some of the newer verticals that you’re trying to penetrate? And I have a couple of others as well, please.
William R. Nuti: Generally speaking, Richard, I spend 40-50% of my time in the field and I spend a lot of my time making calls (inaudible) to customers around the world, both new and installed base customers. I’d say the health of the business is fine. I’m very encouraged with what I see in the installed base, in terms of upgrades occurring, based on customers utilizing data warehouse technology more so. I’m encouraged with some of the traction we have on new accounts, not just in the current verticals where we have strength such as financial services, retail, telecommunications, but new verticals such as manufacturing, healthcare, etc. The government as well. I have to tell you I spend a little time in government this last quarter and we’re making very good progress there. That’s a very important spot for us. On the technology side, with the advent of some of the new technologies come down the pipeline whether they’re text analytics based or geo-spatial based, there’s also an opportunity to see some expansion in general data warehouse technology but….overall, I’m pleased with the pipeline, I’m please with what the team is working on. I think our expansion plan there is back on track in terms of coming investments that we need to make in people, demand creation, R&D. overall, I’m very balanced on it and I think where the business is headed this year in terms of trajectory with the guidance we gave, is fine.
Richard Farmer.: Okay, thank you. Following up on Teradata, the strength of the weaker revenue margins held up a little better than I would have expected under those revenue circumstances. You mentioned the software and the storage mix. Can you provide any more color on what was driving the mix there and how that might change in the 2nd quarter, particularly (inaudible) investment plans. How much investment did you make in Teradata in the March quarter and how does that investment compare with what we would expect to be a typical run rate outside of this current period of increased investment in Teradata. And, going forward into the coming quarters, how much investment do you plan to continue to make in Teradata and how does that all affect the operating leverage?
William R. Nuti: Certainly Q1 had a higher percentage of software and the storage margin kind of story, relative to OSI vs. EMC, so we had favorable, really in both aspects, which lead us to get a 21% margin without the…you know, at lower revenues. So, that’s data point one. It was a good quarter, lower revenue, good investments in the sales and R&D side. I would say Q2 is going to see more investment than Q1, it will ramp somewhat but not material enough to move the Op margins. We mentioned in Q2 you’re going to have…we don’t expect the same favorable mix relative to software and storage and that will mitigate the Op margins. We expect a 21-22 for the year, excluding options. We did almost 21 in Q1, with options. And, we’ll have some ramp of investment as we go through the year, but Q1 had a good portion as well. Richard Farmer. Okay. Thank you.
Operator: The next question comes from Rebecca Runkle. Your line is open. Rebecca Runkle. Good morning thanks. A couple of questions on services gross margins. One just a clarification. All of the $9 million in early retirement should be backed out of gross or is that also in operating expenses, as well?
William R. Nuti: The $9 million of customer services is not in the segments, it’s in the pension.
Rebecca Runkle.: It’s in the pension.
William R. Nuti: And then we’ve backed that out as we get to the…that and the slightly better tax rate we backed out in getting to the operational EPS of $.25. Rebecca Runkle. And then looking at services gross margins, clearly you’ve made a lot of progress in that segment over the last year as you restructured that business. Gross margin, the way we’re calculating it looks like it was down year on year and I just wanted to make sure that we were looking at that correctly. And then if you could give any color to why the op margin was so great, but gross was a little bit weaker than was forecast.
William R. Nuti: To clarify one other point, in the gross margin, before you get a schedule A, you’ve got pension expense sitting in the 27.4%. so that’s diluting it. If you pull that out, we’re at 28.1 and in that 28.1 is improvement from prior year on (inaudible) revenue; one component of it is a better margin at Teradata, customer services clearly improving and then we actually did pretty well in the payments business, relative to mix of business this quarter, as well. So, hopefully that helps you navigate through the gross margin of the company level.
Peter J. Bocian: And just on the comment Rebecca on revenue…we’re continuing to do exactly what we want to do with this business, which is really reduce the bad revenue side of the equation, which is third party product oriented and move more so to enhancing our product related services. I would say that there’s more of that to comes in Q2, Q3, Q4 like we’ve said previously, but that will begin to (inaudible) at some future point, probably towards the end of this year, going into next year. Of course we’re going to replace that with a more profitable revenue stream and obviously those two areas are NCR-related product and then managed service, as I talked about on earlier calls…about the value of driving our managed services value prop. While it’s very early days, I am encouraged with what the internal team is working on. I’m encouraged with customers’ willingness to hear about our value proposition and some acceptance and I’m hopeful that over the course of these next several quarters we’ll make some progress and will begin to go back on the upswing a little bit more in managed services content, as well.
Rebecca Runkle.: And just shifting gears quickly, again kind of a clarification question. The 18% tax rate you talked about that being geographical mix. What was particular about this quarter that you don’t expect to repeat for the remainder of the year such as the tax rate would reverse back up to 22%?
William R. Nuti: I think first of all, when you take the amount of op income we have in Q1, it’s not very big, given what we’ve ramped through the years. The difference between an 18 and a 22 is not that significant. A couple of countries, a different mix can alter it. That said, I believe that what you should focus on is the 22% for the year, which will be better than last year; I thin kit’s a pretty good rate and you might get some noise around moving a couple of points as we move through the year. But in general, 22 is what we expect to have for the year. Rebecca Runkle. Great. Thank you gentlemen.
Operator: The next question is from Matt Summerville. Your line is open. Matt Summerville. Good morning. A couple things on Teradata first. You mentioned you thought the magnitude of (inaudible) was about $30 million. How much of that do you think you’re going to get in the 2nd quarter and have you already gotten some of it? And what’s your overall level of confidence that you do get that back? Are these contracts that have already been signed that were just delayed in terms of shipping? William R. Nuti, President and CEO We said we expect to get the majority of it. Yes, we do have some already in-hand. I believe high probability on that. I think that what you have to focus on is we’ve got to go get a low double-digit growth quarter. So, it’s a high sell to bill business. We’ve seen positive lumpiness, choppiness last year and we saw some negative in Q1. once we get past that and we get the majority of the $30 million back in Q2 and I expect to do that, then we’ve got to go close the rest and that’s what the team is focused on…what I call by the turn or at the end of Q2 putting us on track to 5-7% growth for the year.
Peter J. Bocian: We’re going to absorb most of the negative currency in the first half of the year as well. That’s got some element of optics in here as well.
Matt Summerville.: Okay. As far as…Bill, you mentioned you (inaudible) comes from the ATM business. Can you walk through what it was and where it’s going and why you feel the need to chase it down?
William R. Nuti: All we’re doing Matt is we’re pushing down our profitability through the organization, deeper into the organization as a metric both in terms of recognition and secondarily in terms of compensation. So, sales incentive compensation. We’ve always had profitability included in the sales incentive compensation, just at a higher level in sales. So we’re just pushing it down another layer in the organization. That would be point one. As I said earlier, we lost the price cost war in Q1 but we also have to remember a lot of what we shipped in Q1 was ordered in the 2nd half of last year. And so, as I’ve said to you the last call or two, our real focus is on good revenue, profitable revenue. And we’ve just got to continue to keep an eye on and make sure what’s sitting in backlog in terms of (inaudible) is getting better and better every day. And so that’s part of the focus. And to help that, the sales incentive being pushed down a bit is, I believe, going to be a helpful ingredient to making that happen. Matt Summerville. At what point did you see prices starting to stabilize? When you look in your order books for the second quarter, how much of it would you say is still less desirable type of rates or levels?
William R. Nuti: Again, I want to be clear. I’ve seen in Q1 pricing stabilize a bit. As Pete talked about earlier, we had significant price deflation in ’05 towards the latter part of last year and probably through a little bit in Q1 and it improved a little bit more and I’m hopeful it gets better here in Q2 and stabilizes. I don’t think a quarter does a trend make yet. And then we still have a good chunk of the backlog and a relatively low march. Again, orders we received in the 2nd half of last year so…I don’t think the order book is going to improve dramatically in Q2 in terms of margin, but I would expect, and I have a very high expectation of this team that over the course of the next several quarter that it will improve. Matt Summerville. In terms of product line rationalization, can you talk about a little more dtail on what you’re looking at there? Where are you today? Where do you see it over whatever time frame you’re looking to do this? And in the end, I’m sure there has to be some level of savings you’re looking at out of the supply chain in this business. Can you talk about that?
William R. Nuti: First things first. On product rationalization. It’s both at the product SKU level and at the parts SKU level, so we’re looking at our products SKUs and part SKUS and we have a lot and we need to reduce that, we need to reduce the complexity of it. Which, of course, has a positive impact on your entire operation’s cost structure. By the way, it will also have a positive impact in our sales team’s ability to sell our products. I have had, I’ve probably met 200 customers here in the first 8 months at the company and I can tell you without question all of our customers do want us to reduce the complexity of our product set. And, actually, it’s smarter around how we design and develop and manufacture our products; meaning fewer parts, more simple, more elegant. Both lower cost and higher quality should be the outcome. That’s point one. Point two, Matt, I’m not going to get into a discussion on exactly the manufacturing and/or optimization supply chain cost program is going to produce until we’re comfortable that the numbers we can give you we can (inaudible) to. Because, in this area you don’t know whether or not what you’re able to drive out in terms of cost will get eaten up in price. And until we get comfortable price is going to stabilize to some degree, I don’t want to come out and give you a number that I can’t live to, we can’t commit to. That being said, I can tell you there’s a maniacal focus on supply chain optimization, on quote to cash. If you will, within the business units per se, I’m talking about financial self-service. Quote to cash simplicity and that should result in better margins, as long as the pricing environment remains stable or stabilizes, that should help us long term.
Peter J. Bocian: Yeah and Matt we have talked about levers…so we’re pulling at multiple levers in this business whether it’s the supply chain, whether it’s the product rationalization or it’s the increased focus on profitability of the sales force. it’s about levers, maintaining mid-teen margins this year and then driving to the 16-17% op margins in 2008. That’s what we’re all about doing. Matt Summerville. And then just another question on ATMs related to Check 21. Bill you indicated that you expect to see some level of heightened activity in the US in late ’06, with some rollouts with some of the major banks in the US. In terms of the types of discussions you’re having with them, what sort of penetration rates do you think are achievable over the next 1-2 years in terms of...if ABC bank has 1,000 ATMs, how many of those do you foresee having the ability to do check imaging?
William R. Nuti: I don’t know and I think it anybody gives you an answer it would be disingenuous because it’s too early in the pilot phase to be able to determine whether or not customers are going to do 50, 60, 80% of their installed base or turn their installed base into deposit automation capability. It’s just too early to tell. Now, that being said, it is … I think it is reasonable to expect that there’s going to be a very high proportion of ATMs over the next several years that will transition to a deposit automation capability. In my customer calls and I do a lot of them, I can tell you I’m so far pleased with the pilots that have been rolled out. We have had some challenges, but I think generally we’re in good shape and ahead of the competition. The second thing I would say is that our customers…our customers’ customers reaction to the technology has been positive; which is the thing that I look for. I look for, what is the consumer, how is the consumer reacting to this technology. Many of the surveys – our customers who are piloting these products with are pleased with the results. That’s very important and that will dictate over time what percentage of the base transitions to deposit. But I couldn’t give you a percentage. I think it’s going to be a very high percentage and I still think, as I said last quarter I haven’t changed my perspective, I think it’s late ‘06 when you start to see pilots put into production. And then I do expect ’07 will be a positive year in terms of a production rollout of deposits.
Mark Summerville: Okay. One last question around CS margins. You were 4.5, almost 5% in Q1 and you’re looking forr 4.5 for the year. Is there anything to relate there other than you guys are being conservative and then having said that, to close the loop on what we’re looking at in the second quarter, service margins are going to probably continue to be strong. Teradata you’re going to get decent revenue growth, margins somewhere near last year’s 21; and then ATM margins sound like they’re going to be down year over year. When you put all that together, I’m still coming up with earnings growth Q2 ’06 over Q2 ’05. is my logic right?
William R. Nuti: We did have a strong Q1 in customer services, so I’d call it as I described; the leadership team…we’re in the range of what we want to deliver and we’ve got to now maintain it and continue. There’s a lot of hard work that goes into delivering those numbers; executing calls, managing parts, etc. my view is we’re in the range and I think Q1 is a validation point relative to the 4-4.5% for the year. I’ve given you color around Q2 relative to the catch up in Teradata. Where we expect the ATM margins to be. You have a lot of good points in your statements. We’re not going to provide specific EPS guidance for Q2. Mark Summerville. Okay, thanks.
Operator: The next question comes from Reik Reed. Your line is open.
Reik Reed.: Good morning. Bill, just on the question of this lingering impact of price erosion that yo’ure referred to. Can you give us some sense for how that’s occurring by geography? And, can you comment – are you guys walking away from deals where the pricing doesn’t make sense?
William R. Nuti: I think price erosion has improved the most in the US. We’re still seeing price erosion in the emerged markets, whether its India or China or Eastern Europe. That environment hasn’t changed much. Western Europe has gotten a little better, but not as positive as it has been in the United States, Reik. That’s a little bit of color for you on price erosion. Again, I just want to caution everybody, let’s just make sure we see price erosion continue to stabilize over this next quarter or two. Reik Reed. And Bill, are you walking away from deals at this point if the price…
William R. Nuti: Yeah, we are. And we will continue to as long as they’re not profitable opportunities for us in terms of both the initial sale as well as the total sale over the life of a contract. Reik Reed. And just within the North America market this past quarter, do you guys have evidence to suggest that you did gain some share?
William R. Nuti: Look, share gain is an interesting one. It’s a very important…Malcolm and I talk quite a bit about what we need to do with regard to share. Today, it’s not important to discuss the global landscape as much as it is to understand what it’s going to take to be the share leader in this market. Our customers…it’s a 2-3 horse race at any time. What we need to be working on is what’s going to cause a customer to put a higher percentage of NCR in their base vs. try to leverage 2-3 vendors against each other on a consistent basis? And then, of course, as you work toward what is the value proposition that a customer requires for you to be a higher percentage winner in any one of these battles, just make sure as you’re doing it you’re not buying the installed base, but you’re focusing on a profitable shift in that as well.
Peter J. Bocian: And we’ve always said, looking at share or relative growth, you’ve got to look at a longer term trend. We want to end up with good quality revenue. Relatively flat is our expectation for the year. We want to get more software, we want to get more of the deposit as it comes out and that’s what we’re focused on. We’re looking at share but I wouldn’t try to judge share on a quarter or even a couple of quarter basis. We don’t think there are huge shifts in share over time. We want to get the better deals with the higher software and the higher deposit.
Reik Reed.: Do you guys feel that just given the emphasis that you’ve put on the intermediate bank market in say the last two years that you’re starting to gain some traction there? And maybe that is leading to a positive share shift for you again, as you’ve pointed out Pete, through time?
Peter J. Bocian: I think certainly we have more representation in that segment of the US than we did 2-3 years ago and then…we’re back at account by account, trying to deliver the right solution to them. That’s going to be at the end of the day, how the share moves over time.
William R. Nuti: No doubt the debts will be made in additional (inaudible) and headcount. (inaudible) banks and community banks had a positive impact, but again – on a global basis it’s a relatively small group of customers and it may not have moved the needle much in terms of global market share.
Reik Reed.: Okay. And Bill, over on the retail segment, you had said that the capital per project is decreasing. Can you talk a little bit more about…when you look at the capital expenditures at the retail level, they’re remaining relatively flat. I assume what you’re talking about is a little bit more of a reprioritization of those dollars. Can you talk about what you’re seeing there?
William R. Nuti: I think retailers are genuinely concerned, particularly in the US, about the (inaudible) economic environment and the price of gasoline and the impact that has on discretionary spending. Whether or not its real or more of a genuine concern, whenever you are faced with potential headwinds, like they are faced with, potentially consumers starting to spend less or using their discretionary dollars more intelligently, they’re not going to be as open to spending capital on a variety of initiatives. But it’s more broad than that. I don’t think capital is moving dramatically from one technology area to another, Reik. What I think is happening is they are spending more time evaluating where they’re spending their money and when they do spend their money, it’s not the full rollout that they probably would have done if they were more confident in the consumer and the overall macro environment. And that’s really the issue.
Peter J. Bocian: And I would add that, you know, separating the traditional POS from the self-service…they have different buying patterns. So where last year we saw a decline in traditional POS and we grew in self-service over double digits. We continue to expect that kind of dynamic imbedded with our store automation solution.
Reik Reed.: So you guys are suggesting that there is some facet of your business that has some favorable disposition to the capital that’s out there?
William R. Nuti: Yeah, a little bit. Yes we are and it would come in the areas of self checkout. We’re finding self checkout is being more widely accepted. Again, because of consumer acceptance. Self-service technologies are certainly…there’s a lot of interest in self-service kiosk technologies. The reason why the self-checkout and self-service kiosks are widely accepted are because they actually help the retailer lower their cost structure, while improving consumer satisfaction. And so, it’s very much in line with what I was saying earlier with respect to capital spending. If they can find capital that will actually help them reduce their costs, it’s a quick ROI while getting the secondary benefit of your customers walking out of the store happier…they’re more likely to spend. But they are equally still cautious about how much they’re spending here.
Reik Reed.: Great. Thank you guys.
Operator: The next question comes from Kurt (inaudible). You’re line is open.
Unidentified Analyst.: Good morning. I have a question on Check21. As you look at the solution, what do you think has been the biggest stumbling block in terms of adoption? Is it just that it’s a new technology or is there some fundamental reason it’s taking a little bit longer?
William R. Nuti: There’s 3 reasons. The first is the back office is still being built out. All of the applications in the back office in terms of check transfer. And the second is this is a change. There are human behavior changes, cultural changes, process changes banks are going through, the way check are handled, whether they’re in the branch or outside of the branch. And then thirdly, there’s a maturation of the technology end to end, both at the front end – at the ATM machine and other forms of check processing, right to the back end, in terms of the data center. Those are the three key reasons. Any time a new technology like this is incubated, it always takes longer than you expect. If you work the issues through, you tend to see more of a rapid uptick. We’re hopeful it’s 2007 but we’re still – the banks and we – are still working through those issues.
Unidentified Analyst.: From a big picture standpoint, if you look at the company as it is, and I know this year there are tough comparisons and certain things that are happening in customer services, you are on purpose getting ride of some bad revenue…but once it’s stabilized, what do you think the revenue growth of this company is as it currently stands?
William R. Nuti: I would rather not get into predictions on revenue growth longer term, Kurt. What Pete and I are interested in right now is continuing to execute our plan. Now, it would also be disingenuous if I said that if we didn’t execute our plan that we’d expect growth, but I don’t have a crystal ball. I can’t tell you what the growth of this corporation’s going to be when we complete executing this plan. Right now, we’ve got three key strategic initiatives that I’ve laid out for you. Pete and I are riveted on executing those three initiatives that I believe are operationally sound and execute better to low cost, high quality products and solutions and it will grow. I expect that if we make smart decisions in each one of our business units around growth, in each one of those divisions based on what the opportunity is, we’ll have an opportunity to grow. At some point, Kurt, pete and I will come back after we’re done keeping our foot on the gas and where we need to on the brake, we’ll give a little more of a perspective on growth. But right now, we don’t expect NCR to grow in 2006.
Unidentified Analyst.: That’s fair. I guess from the acquisition opportunities…are there opportunities for you to acquire businesses in any of your segments? And if so, what type of capital allocation strategies would you want to follow and (inaudible)?
William R. Nuti: Right now both Pete and I and the company, we continue to look at any and all opportunities to make acquisitions. Largely we’re focused on small, digestible acquisitions, particularly in analytics and self-service, which are the two areas that are our focus. We’ll continue to do so. It’s not that we shy away from medium- sized or larger acquisitions; we always want to give our board an opportunity to say no. but right now we have to remain very focused on continuing the operational plan that we put in place in ’03. We need to stay focused on phase II of that plan which revolves around building a sustainable cost structure for the future. And, we will continue to make the right moves we need to, that’s if they’re smart ones, to drive growth longer term with small, targeted acquisitions.
Unidentified Analyst.: Alright. Thank you very much.
Operator: The next question comes from Matt Berg. Your line is open.
Matt Berg.: Hi, good morning guys. Returning to Teradata. Are you seeing any change in your competitive position with respect o Teradatta? What’s the relative strength of various verticals vs. each other within your Teradata business?
William R. Nuti: No change in the competitive composition in the market. And, relative vertical strength – if you looked around, we still see strength in the financial services space, particularly retail banking, the retail banking side. We are a little encouraged by the fact that the other side of larger banks are beginning to look at Teradata technology and some have already made some commitments to us in terms of the capital market side of banking. We are probably seeing a little more weakness in the telecommunications side because of the consolidation that’s taking place in that market right now, particularly here in the US. The other part of financial services, Matt, that we’re working on and seeing a little bit of an uptick is insurance. Retail continues to be a fairly positive market, landscape for us. We’re making small inroads with good traction in manufacturing; the same in government, as I mentioned earlier to you and also, to some extent in healthcare.
Matt Berg.: Okay. Thanks, that’s helpful. Then just on the buyback, it seems like for the past few quarters you’re repurchased over 3 million shares per quarter. Then the first quarter I see that you only repurchased 2.3 million shares. Can you talk about that a little bit and what your focus on the buyback is going forward?
William R. Nuti: The 2.3 million shares was $88 million of buyback. That compares to about $95 in Q4 of last year. So fairly consistent. I wouldn’t say there’s any material change. The word we’re still using is systematic share repurchase, is what the board has authorized us to go do. We’ll continue to generate positive free cash flow. We’ll continue to buy back shares. You can expect that in a systematic fashion. I think we bought back a good amount of shares and will continue going forward. We have more than 28 million of additional authorization and will continue to systematically spend it. Matt Berg. Okay, thanks so much you guys.
William R. Nuti: Thank you, Matt. And I want to thank everybody for joining us today. We’ll look forward to talking to you again in the middle of the summer. Take care. 